Operator: Greetings, and welcome to the AudioCodes Third Quarter 2025 Earnings Conference Call. [Operator Instructions] And please note, this conference is being recorded. I will now turn the conference over to your host, Mr. Roger Chuchen, Vice President of Investor Relations. Sir, the floor is yours.
Roger Chuchen: Thank you, operator. Hosting the call today are Shabtai Adlersberg, President and Chief Executive Officer; and Niran Baruch, Vice President of Finance and Chief Financial Officer. Before we begin, I'd like to remind you that the information provided during this call may contain forward-looking statements relating to AudioCodes' business outlook, future economic performance, product introductions, plans and objectives related thereto, and statements concerning assumptions made or expectations as to any future events, conditions, performance or other matters are forward-looking statements as the term is defined under U.S. federal securities law. Forward-looking statements are subject to various risks, uncertainties and other factors that could cause actual results to differ materially from those stated in such statements. These risks, uncertainties and factors include, but are not limited to, the following: the effect of global economic conditions in general and conditions in AudioCodes' industry and target markets, in particular, including governmental undertakings to address such conditions, shifts in supply and demand, market acceptance of new products and the demand for existing products, the impact of competitive products and pricing on AudioCodes and its customers' products and markets; timely product and technology development upgrades the event of artificial intelligence and the ability to manage changes in market conditions and evolving regulatory regimes as applicable, possible need for additional financing; the ability to satisfy covenants in AudioCodes financing agreements, possible impacts and disruptions from AudioCodes acquisitions, including the ability of AudioCodes to successfully integrate the products and operations of acquired companies into AudioCodes business; possible adverse impacts attributable to any pandemic or other public health crisis on our business and results of operations; the effects of the current and any future hostilities involving Israel, including in the regions in which we or our counterparties operate, which may affect our operations and may limit our ability to produce and sell our solutions, any disruption in our operations by the obligations of our personnel to perform military service as a result of current or future military actions involving Israel and any other factors described in AudioCodes' filings made with the U.S. Securities and Exchange Commission from time to time. AudioCodes assumes no obligation to update the information. In addition, during the call, AudioCodes will refer to non-GAAP net income and net income per share. AudioCodes has provided a full reconciliation of the non-GAAP net income and net income per share to its net income and net income per share according to GAAP in the press release that is posted on its website. Before I turn the call over to management, I'd like to remind everyone that this call is being recorded, and an archived webcast will be made available on the Investor Relations section of the company's website at the conclusion of the call. With all that said, I'd like to turn the call over to Shabtai. Shabtai, please go ahead.
Shabtai Adlersberg: Thank you, Roger. Good morning and good afternoon, everybody. I would like to welcome all to our third quarter 2025 conference call. With me this morning is Niran Baruch, Chief Financial Officer and Vice President of Finance at AudioCodes. Niran will start off by presenting a financial overview of the quarter. I will then review the business highlights and summary for the quarter and discuss trends and developments in our business and industry. We will then turn it into the Q&A session. Niran?
Niran Baruch: Thank you, Shabtai, and hello, everyone. Before I start my formal remarks, I would like to remind everyone that in conjunction with our earnings release this morning, we will post shortly on our Investor Relations website an earnings supplemental deck. On today's call, we will be referring to both GAAP and non-GAAP financial results. The earnings press release that we issued earlier this morning contains a reconciliation of the supplemental non-GAAP financial information that I will be discussing on this call. Revenues for the third quarter were $61.5 million, an increase of 2.2% over the $60.2 million reported in the third quarter of last year. Services revenues for the quarter were $30.9 million, a decrease of 4.8% over a year ago period. Services revenues in the third quarter accounted for 50.3% of total revenues. The amount of deferred revenues as of September 30, 2025, was $81.6 million compared to $78.6 million as of September 30, 2024. Revenues by geographical region for the quarter were split as follow: North America, 48%; EMEA, 33%; Asia Pacific, 15%; and Central and Latin America, 4%. Our top 15 customers represented an aggregate of 53% of our revenues in the third quarter, of which 38% was attributed to our 10 largest distributors. In the third quarter of 2025, we experienced increased expenses due to the implementation of the new tariff of U.S. imports accounting to approximately $0.5 million additional cost, which impacted on both GAAP and non-GAAP. GAAP results are as follows. Gross margin for the quarter was 65.5% compared to 65.2% in Q3 2024. Operating income for the third quarter was $4.1 million or 6.6% of revenues compared to operating income of $4.9 million or 8.1% of revenues in Q3 2024. EBITDA for the quarter was $5.2 million compared to EBITDA of $5.9 million for Q3 2024. Net income for the quarter was $2.7 million or $0.10 per diluted share, compared to net income of $2.7 million or $0.09 per diluted share for Q3 2024. Non-GAAP results are as follow. Non-GAAP gross margin for the quarter was 65.8% compared to 65.6% in Q3 2024. Non-GAAP operating income for the third quarter was $5.8 million or 9.5% of revenues compared to $7 million or 11.7% of revenues in Q3 2024. Non-GAAP EBITDA for the quarter was $6.9 million compared to non-GAAP EBITDA of $7.9 million for Q3 2024. Non-GAAP net income for the third quarter was $4.9 million or $0.17 per diluted share compared to $4.9 million or $0.16 per diluted share in Q3 2024. At the end of September 2025, cash, cash equivalents, bank deposits, marketable securities and financial investment totaled $79.7 million. Net cash provided by operating activities was $4.1 million for the third quarter of 2025. Days sales outstanding as of September 30, 2025, were 122 days. In July 2025, we received court approval in Israel to purchase up to an aggregate amount of $25 million of additional ordinary shares. The court approval also permit us to declare a dividend of any part of this amount. The approval is valid through December 30, 2025. On July 29, 2025, we declared a cash dividend of $0.20 per share. The aggregate amount of the dividend was approximately $5.6 million. The dividend was paid on August 28, 2025, to our shareholders of record at the close of trading on August 14, 2025. During the quarter, we acquired 1,267,000 of our ordinary shares for a total consideration of approximately $12.7 million. Regarding the direct cost impact from the tariff announced since the beginning of 2025, we expect roughly $3 million of cost burden for the full year 2025. Given the recent stabilization in the tariff developments, we are resuming our practice of providing full year outlook. For 2025, we expect revenues of $244 million to $246 million and non-GAAP earning per share of $0.60 to $0.64. I will now turn the call over to Shabtai.
Shabtai Adlersberg: Thank you, Niran. I'm pleased to report solid third consecutive quarter of top line growth in the third quarter and execution for our strategic objectives amidst our long-term transformation to an AI-driven hybrid cloud software and services company. In the quarter, we continued to build on the strength of our UCaaS and CCaaS connectivity business, accounting now for over 90% of our revenue and successfully leveraged our enterprise customer base to drive cross-sell of our fast-growing GenAI business applications that make up our Conversational AI division. In fact, in many ways, we can say that as of now, AudioCode has put Voice AI front and center going forward in our operations in terms of sustained growth. Our solid third quarter results were marked by strong traction in our dual growth engines, namely the Live family of Unified Communication and Collaboration and customer experience connectivity services and conversational AI business line. In fact, our conversational AI business increased 50% in the quarter, putting us on track to reach the 40% to 50% growth for the full year 2025. Together, these 2 units drove our annual recurring revenue exit third quarter to $75 million or up 25% year-over-year, which positioned us to reach our full year target of $78 million to $82 million. We are growing ever more optimistic about the continued strong ARR momentum and growth prospect for the overall company, fueled by a strong pipeline of opportunities catalyzed by recent launch of the next-gen live platform and the growing demand for productivity-enhancing GenAI value-add services. This is further reinforced by the growing backlog of live and managed services that will convert to revenue in the coming quarters. We ended third quarter backlog at $76 million, growing 13.4% over the year ago backlog of $67 million. Let me share some key developments in our strategic business lines that underscore our growing confidence in our growth prospect. We have seen growing demand from partners for our live platform, an all-in-one cloud software stack that empowers them to seamlessly integrate connectivity with GenAI-powered business voice applications. To that end, in the third quarter, we signed a live platform agreement with a global Tier 1 system integrator. This strategic landmark deal calls for alignment and coordination of all sales aspects from initial opportunity pursuit to post-sales delivery. This comprehensive approach ensures customer satisfaction and success. The initial scope of the agreement provides managed SVC and Gateway as a service in support of major UC and CX platforms for greenfield deployments and for existing customers looking to transition their legacy infrastructure to the cloud. Where applicable, the partner will also cross-sell our award-winning Teams certified Voca Contact center, delivering a unified UCCX experience. Based on the currently committed services, we anticipated low single-digit millions in recurring revenue during the first year of operation in this agreement. This strategic agreement represents a clear win-win for both parties. For the Tier 1 system integrator, our all-in-one UCCX conversational AI stack simplifies operations, reduces cost to serve and enhances end customer experience. For us, it significantly expands our market reach and scales our go-to-market execution in the enterprise space. Together with our long-standing successful partnership with AT&T in North America, this announcement reinforces our market credibility and position us as a partner of choice for all AI-infused UCCX services. We are seeing strong interest from other Tier 1 prospects. Other Tier 1 system integrator prospects recognize the transformative potential and cost efficiencies of our integrated platform. We look forward to sharing additional updates on new partnership with global system integrators in coming quarters. Now to conversational AI. In addition to pull-through of conversational AI from live platform partners, we are seeing broad-based interest in our Gen AI-powered voice application from end customers. Specifically, I would like to highlight the progress we are making in our newer service, Meeting Insights on-prem, which we call Mia OP. This is our unique Gen AI-powered meeting intelligence platform, providing transcription, summarization, automation and connectivity to other leading enterprise IT application that is completely detached from the Internet and that is tailored for regulated and security-sensitive industries. Launched earlier this year, we have gained significant traction in the Israeli market, mainly in the government space, all through word of mouth. Recently, our leading position in the Israeli market were further cemented when we were officially awarded a contract under Project Nimbus, the Israeli government's multiyear cloud migration initiative. As the exclusive provider of meeting intelligence services in the non-SaaS category for calendar year 2026, this award streamlines procurement for all Israeli agencies, both civilian and military, allowing them to activate Mia OP without the lengthy tender process. We are also actively marketing this solution outside of Israel and initial customer responses in APAC and North America have been overwhelmingly positive. Now to a more successful Gen AI-powered business line in the quarter, Voice AI Connect and Live Hub. Leading our revenue growth in the conversational AI business is the Voice AI Connect and Live Hub connectivity and orchestration services business, which grew north of 50% year-over-year. We delivered a standout quarter with strong performance across the board, highlighted by exceptional third quarter booking growth that puts us on track to exceed our full year target. This momentum was fueled by high volume of new logo wins across the United States, Europe and APAC, along with significant expansion within our existing installed base. Driving this rapid growth is the emergence of the voice bots market, which is experiencing robust growth, driven by advancement in Gen AI and NLP. Market analysis projects that the voice bot market size will reach above $25 billion in 2034, up from just $4.3 billion in 2024, with a compound annual growth rate of 20%. Now to the Voice AI Connect space. A key highlight was a high 6-figure voice, voice access project license agreement aligned with leading agentic platform, AI Agentic platform that's supporting virtual agent and agent assist use cases for its large enterprise clients. We view this initial engagement as the foundation for a strong and mutually beneficial partnership. On the expansion front, we renewed a strategic agreement with a long-standing VoiceAI Connect customer, a leading multinational healthcare company. The expanded contract reflects a substantial increase in total value driven by the customer growing demand for virtual agent and assist capabilities as part of the digital transformation. Additionally, we secured a significant follow-on order from one of the largest credit unions in the U.S., which is deploying our VoiceAI Connect solution for conversational IVR use case. Following the successful implementation of initial order in the first quarter of '25, focused on internal HR and help desk, the customer expanded rollout through its IVR this quarter, enabling self-service option for its end customers. Moving on to Live Hub, offered as a Software-as-a Service. Live Hub is a cloud-native self-serve platform that helps voice bot developers for enterprise and service provider connect, connect, orchestrate and enrich the voice communication collaboration stride across various channels and systems. During the third quarter, another exciting milestone was the introduction of Agentic AI capabilities within our Live Hub platform. This pivotal enhancement delivers an end-to-end solution carrying text-to-speech, speech-to-text and LLM-powered bot development with related best-in-class connectivity services, all tailored to service small to medium-sized customers. Importantly, our Live Hub financial momentum continues with ARR growing above 30% sequentially and substantially above 100% versus the year ago period. Now turning -- before turning to the detailed business line discussion, let me quickly shift to the third quarter profitability metrics outlook. We performed -- outperformed on top line with revenue growing 2.2% year-over-year. Our non-GAAP gross margin for the quarter was 65.8%, which is above our previous quarter of 64.5%. The sequential improvement in our non-GAAP gross margin is attributed mainly to more favorable product mix and lower tariff related cost headwinds of about $0.5 million versus prior expense of above $1 million in the second quarter of 2025. We expect fourth quarter '25 tariff costs to be in the similar range to this recent third quarter. Third quarter non-GAAP operating expenses of $34.7 million compared with $35 million in the second quarter and $32.5 million in the year ago quarter. On a year-on-year basis, the higher expenses are attributed mostly to targeted investment in growing the conversational AI business and higher impact from the weakening U.S. dollars against the euro in the third quarter. Non-GAAP operating margin reached 9.5% compared to 7.2% in the previous quarter and 11.2% in the year ago quarter. Non-GAAP EBITDA margin was 11.2%, again, an improvement compared to 8.6% in the previous quarter. Non-GAAP earning per share was $0.17 compared to $0.14 in the previous quarter and $0.16 in the year ago quarter. In terms of headcount, we ended the quarter with 961 employees, essentially flat across the first 3 quarters 2025 and compared to 935 employees in the year ago period. Net cash provided by operating activities was $4.1 million for the quarter and $25.2 million for the first 3 quarters of 2025. The key takeaway from these financial results is that our business remains strong and is expected to grow steadily through 2026 and beyond across our 2 primary sectors. Looking ahead to the upcoming year, we expect a noticeable shift in our top line performance. Specifically, we project that 2025 will demonstrate both change and growth compared to 2024. This improvement is significant as it will mark a reversal of the declining annual revenue trend experienced in 2023 and '24. So, we're moving to positive trend, and we believe that '26 will be even higher. Firstly, the UCaaS and CX connectivity business has stabilized compared to 2023 and '24. Additionally, 2 significant developments in the third quarter: one, signing the service agreement with the leading global system integrator and increasing engagement with Cisco, which is the second largest shareholder in the UCaaS market, involving all type of services, including Cloud Connect offering devices and more. The 2 developments give us confidence that this connectivity business will perform well in coming years. And secondly, as anticipated, we expect strong growth exceeding 40% annually in our conversational business over the coming years. Now to some of the major business lines, starting with Microsoft. Our third quarter Microsoft business was almost flat year-over-year, impacted by seasonality and late purchase order push into the fourth quarter. For the first 9 months of the year, Microsoft grew 4%, driven by our connectivity business, coupled with increasing attach rate of sales of devices, Voca CIC or Team Certified CCaaS and other conversational business application services. Importantly, our pipeline of created opportunities remained robust in the third quarter, up 20% year-over-year and up 8% for the first 9 of 2025, again, compared to the year ago quarter. Market service and partner inputs continue to support a growth story for Teams Phone business, driven by the Microsoft Operator Connect program, where adoption in the market continues to show healthy growth. Teams Phone usage is also strongly supported by Microsoft efforts to drive Copilot as a central capable chatbot for the Teams Phone meetings and calls. All this points to a strong market today and for coming years and further supports business expansion and dominance in the connectivity area. Before wrapping up on Microsoft business discussion, let me share details of some representative wins. One is a very large greater than 1 million defense information system agency. Here, we have signed $1.1 million total contract value over the next 36 months through AT&T, covering the expansion of additional managed SBC services and calling plans in a new region. Second win is with a financial services company operating internationally. It is a provider of investment management services outside to the U.S. This is a $1 million TCV contract over 36 months deals renewal of all prior services and purchased at a modest increase in value. Third is a win with a large -- one of the largest hospital, pediatric hospitals in the U.S., again, close to $1 million TCV over 36 months, covering live from managed services and gateways, enabling full migration from legacy PBX systems to Microsoft Teams. Now turning to the contact center or customer experience market. CX grew by 13% year-over-year in the quarter, benefiting from growth in connectivity for CCaaS and connectivity services. We continue to see growing customer and partner interest in Live CX, which is an integral component of the live platform and targets applications such as cloud migration of contact center, replacing traditional 1800 services with click-to-call functionality and enabling conversational AI through Voice AI Connect and Live Hub connectivity. As discussed in my earlier remarks, during the third quarter, we signed a landmark live platform agreement with a global Tier 1 system integrator where Live CX was a critical element of the broad-based agreement. Expanding our network of global Tier 1 integrator remains a key strategic initiative as it significantly broadens our addressable market. These partners focus on midsized customer experience customers, a segment traditionally underserved by our direct sales team. Importantly, our pipeline of opportunity remains -- remains robust and gives us confidence about our growth prospects for the balance of '25 and into 2026. Now to conversational AI other lines. As discussed previously, conversational AI business grew 50% in the quarter. Key in the growth for the business line of Voice AI Connect and Live Hub, which we just discussed. Let's now discuss highlights of additional business lines that make up the conversational AI segment. First, Voca CIC. We recorded another quarter -- record quarter of strong year-over-year invoicing and booking growth for Voca. Key highlights include major win in aviation. We signed a deal to deploy our team certified omnichannel contact center at a major APAC, Asia Pacific airport, one of the busiest airports in the world, beating out a couple of well-known premium CCaaS vendors. We won based on our ability to leverage our broad portfolio, offering a tightly integrated Teams-based phone and CCaaS service along with mobile app call enablement to contact center via our click-to-call solution. Ongoing momentum in higher education, we continue to make solid progress in this vertical, adding another university this quarter that selected our best-in-class Teams certified contact center solution alongside our live Teams managed UC services. We now serve 12 university accounts in North America with Voca, including the second largest university in the U.S. and the largest school network on the East Coast. Microsoft Unified certification, Voca became the second vendor worldwide to receive certification. We have distanced our self from competition as the only vendor with real-world enterprise production grade experience with this stack, thanks to our long-standing partnership with Microsoft. Now to a new product update. Later in the fourth quarter, we plan to launch Agent Insights, which brings advanced conversational AI and generative AI to the Voca CAC platform. Powered by LLMs, it transforms recorded Teams interactions into structured insights, including AI summaries, sentiment analysis and one-click CRM updates. Each contact center desk can define customer summary prompts, ensuring precision and compliance across use cases. Strategically, Agent Insights aligns with our unified integration model with Teams Phone, adding a critical AI layer to the Microsoft Teams CX ecosystem and strengthening Voca CIC as the role as the intelligent engagement layer driving efficient and quality business value. Now needless to say that Agent Insight is based on our technology developed in the meeting insight and therefore, we are in a good position to make great value and benefit from a technology in different areas. Overall, our achievements are gaining recognition from leading industry analysts, culminating in a recent award from the UC today for best Microsoft Teams Contact Center, representing back-to-back win for the second year in a row in this category. Moving to Meeting Insights. Meeting Insights Cloud Edition maintained strong momentum in this quarter with continued growth in new customer acquisitions. Other key metrics include the number of meetings and unique active users reached record levels, contributing to continued growth in monthly recurring revenue. In addition to our broad market focus, we have developed workflow solution tailored to specific verticals, adding automation and connectivity to other leading enterprise IT solution aimed at leveraging Gen AI to enhance meeting productivity and accelerate business outcomes. Early traction has been promising. One example involves the University of Central Florida, one of the largest universities in the U.S., which amongst a broad portfolio of solution customer takes from us, they deployed also Meeting Insight to generate AI-powered summaries and transcript of interaction between counselors and students. Working closely with the customer, we perform analytics such as sentiment analysis and speaker [indiscernible] ratio, displaying key metrics in a custom dashboard available to the counselor, supervisors to support student wellness and improve graduation rates. This is just one example of how our vertical solution are transforming data into actionable insights and support workflows, optimizing outcomes. We look forward to sharing more in the coming future. Moving on to Mia OP. Since second quarter, we have made significant strides in Israel and globally that are expected to drive growth in our conversational AI segment. In addition to the exciting contract award under Project Nimbus, we discussed earlier, our momentum in Israel is extending beyond the government vertical. We are now in final stages of several large tenders in other verticals such as healthcare and utilities, reflecting growing demand across various industries. We also witnessed customer interest outside of Israel when customers understand the uniqueness of Mia OP solution that unlocks meeting intelligence at the edge computing level. Fresh from the debate of Mia OP in Asia Pacific in early third quarter, we are now engaging with several government opportunities in APAC countries in setting up a proof-of-concept trials. In late third quarter, we also showcased our solution in the United States and customer response was overwhelmingly positive. We are currently in conversation with several U.S. federal and civilian agencies through a mix of collaboration with partners and direct engagements. We ended the third quarter with close to 10 customers in production and about 15 proof-of-concept project, all arising from word-of-mouth recommendation. Based on our exceptional pipeline of opportunities, we expect our momentum in Mia OP to further accelerate in fourth quarter and into 2026. So, to wrap up our call, in third quarter '25, we continued to make solid progress in our long-term transformation to a hybrid cloud and voice services and Gen AI business application company. We delivered against our strategic objectives in that, a, we have a third consecutive quarter of revenue growth; b, we executed well to our playbook of leveraging our strong connectivity installed base in driving successful cross-sell value-add services. And third, the R&D and sales marketing investments we have made over the past several quarters have led to record conversational AI bookings in the quarter. And importantly, pipeline remains very healthy. This is the basis for our belief that we will grow in the next coming years more than 40% to 50% on an annual basis in the conversational AI business. We are operating from a position of strength, supported by a fortress balance sheet, a dominant connectivity franchise and a growing conversational AI segment that enhances enterprise intelligence and productivity. We believe that these factors position us well for the rest of 2025 and increase growth in top line and earnings into 2026. And with that, I have concluded my presentation, and I'll move over the call to the operator.
Operator: [Operator Instructions] We have a question from Joshua Reilly with Needham.
Joshua Reilly: All right. Nice job on the quarter here. On the global Tier 1 system integrator win, maybe you could give us some more color on what helped you win that deal from a product perspective or any other factors that you think would be relevant to give to investors here.
Niran Baruch: Right. Well, I need to go back to the significance of our Live platform, which is a services delivery platform for UCaaS and CX. I think by now, this is the only platform that allows large system integrators, which serve large enterprises around the world, deliver all of the different services that are needed in order to move to modernizing the enterprise and to move to enhanced, I would say, communication and collaboration. Starting from connectivity, which connects all of the sites of a company across the globe. And then adding on top of that management, management of users, management of sites. And then on top of that, a list of business application and among them, an advanced and AI-first contact center, coding solution, meeting intelligence platform and now we're coming with voice bots and Gen AI applications. So, all in all, this is the most advanced platform these days. And for a large system integrator that operates globally, this would be a great services delivery platform to serve its customers. And I think from that stems the recognition and the importance of that platform.
Joshua Reilly: Got it. That's helpful. And then you're obviously building a lot of these kind of adjacent AI solutions for the communication landscape. If you look at the older products that you have in the market, whether it's FPCs or some of the gateways and all the older products that you sell, those are typically in pretty price-sensitive markets. What are you seeing with some of these new AI solutions and your ability to drive pricing power relative to the UCaaS market, which is historically a pretty price-sensitive market.
Niran Baruch: Right. Well, voice AI is a emerging market and therefore, those organization which are early adopters and quick to implement workflows and solutions that will substantially enhance their productivity are not less concerned with the cost. So, we do not see any price pressure at this point on the Voice AI business application. And we believe that as we will continue to enhance and add more features and make the solution substantially richer, we can still keep that. So, you have identified correctly the difference between the legacy business, which is price sensitive. But again, there, we enjoy the fact that competition is becoming less and less powerful. But then we enjoy relatively convenient price environment, I would say, for Voice AI business application.
Joshua Reilly: Got it. That's helpful. And then on the Microsoft business, I believe last quarter, it grew 6% year-over-year, and I think you said it was flat this quarter. Is there any change in the trends there? Or is that just really around the year-over-year comparison dynamics for the growth rate?
Niran Baruch: Right. So, I think overall UCaaS market is kind of flattening out in recent 12 months. We've seen that trend. It's been fairly strong up until '22, '23, then it becomes the expansion rate really decreased. It's a good market. It's a great market, right? Just take into account that out of -- if you go back to like 15 years ago and you talk about 400 million endpoints overall in the enterprise world served in the past by PBX'. So these days, UCaaS I believe, is serving less than $100 million. So, a lot of room to grow. And again, we all need to acknowledge that the majority of the growth occurred more in the U.S., U.K., Western Europe, Canada, Australia, maybe, et cetera. But there's a huge -- actually above 50% of the $400 million market that's still served by the old PBX technology. So, there's a lot of room to grow. So -- but pricing is such that I would assume that UCaaS will grow, but our services should be applied to the non-UCaaS market at a lower range. And I think that would be basically the driver for increased growth going forward.
Joshua Reilly: Got it. And then last question for me is, if you look at the mix of revenue in the quarter, I would say that the product revenue was pretty strong, above what my estimate was and what I would have expected. Can you just help us understand maybe what outperformed on the product revenue side in the quarter?
Niran Baruch: Yes. As you've seen, first, we had a great quarter in terms of product recognized revenues. It was driven mainly at the software, which is part of the voice AI solution. So that's where the product growth came from.
Operator: As we have no further questions on the lines at this time, I'd like to turn the call back over to Mr. Adlersberg for any closing remarks.
Shabtai Adlersberg: Okay. Thank you, operator. I would like to thank everyone who attended our conference call today. With continued good business momentum in our UCaaS and CCaaS operations and continued growth in our emerging voice AI business, we believe we are on track to grow revenue and profitability in the next coming years. We look forward to your participation in our next quarterly conference calls. Thank you all. Have a nice day.
Operator: Thank you. Ladies and gentlemen, this does conclude today's call. You may disconnect your lines at this time, and we thank you for your participation.